Operator: Ladies and gentlemen, thank you for standing by. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Erik Bylin. Please go ahead, sir.
Erik Bylin: Thank you, Matt. Welcome to ESS's Fourth Quarter and Fiscal Year 2024 Financial Results Conference Call. Joining me on the call today from ESS are Kelly Goodman, Interim CEO, and Tony Rabb, CFO. Following management's prepared remarks, we will hold a Q&A session. Earlier today, ESS released financial results for the fourth quarter and fiscal year 2024. The earnings release is available in the investor relations section of the company's website. As a reminder, the information presented today will include forward-looking statements, including, without limitation, statements about our growth prospects, partnerships, financial performance, capital raising, and strategy for 2025 and beyond. The forward-looking statements are also subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those projected or implied during this call. In particular, those described in our risk practice set forth in more detail in our most recent periodic filing filed with the Securities and Exchange Commission, as well as the current uncertainty and unpredictability in our business, challenges with raising capital, issues with our partnerships, the market, the economy, and the current geopolitical situation. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call today are based on assumptions and beliefs as of the date they're up, and we disclaim any obligation to update any forward-looking statements except as required by law. During the call, we will also present certain financial information on a non-GAAP basis. Management believes that non-GAAP financial measures, when taken in conjunction with U.S. GAAP financial measures, provide useful information for both management and investors by excluding certain items that are not indicative of our core operating results. Management uses non-GAAP measures internally to understand, manage, and evaluate our business and make operating decisions. Reconciliation between U.S. GAAP and non-GAAP results are presented within our earnings release. And with that, I'll turn the call over to Kelly.
Kelly Goodman : Thank you, Eric, and thank you everyone for joining the call. I am pleased to be here today as interim CEO of ESS to report our 2024 results, as well as discuss what we see in the future for the company. Having already been involved in numerous aspects of the company, and with 20 years in clean energy across commercial roles at a number of different companies, particularly in project development, I am excited to have the opportunity to lead this company and the team we have here in the near term to bring out the full potential of ESS and our differentiated technology. Tony and Ben Heng, the EVP of engineering, joined me in the office of the interim CEO to guide ESS's next phase. In addition, the board intends to commence a comprehensive search considering internal and external candidates for the next CEO of ESS. Moving on to our fourth quarter performance, our results did not meet expectations. We came in at $6.3 million of revenue for the year, below our guidance range of $9 million to $11 million. This shortfall is primarily due to the inability of one of our partners to fully secure funds to enable payments on their orders. This has been a persistent challenge with our current tech scale, and any delays to achieving revenue have an outsized impact on our ability to meet our forecast. In addition, in 2024, as we scale our technology from the energy warehouse to the energy center, which has more than two and a half times the capacity at a much better price per megawatt hour, we continue to see the demand for larger installations. During the same time, we saw considerable decreases in the price of lithium-ion batteries, making them more attractive at greater scale and duration. That said, for lithium-ion to scale, it just adds more of the same battery packs that have the same cost and safety concerns. We have taken a hard look at these trends and intend to accelerate our strategic shift for the business in 2025. I would like to lay out the details of that shift here today. First, in the short term, we focused on our energy center product deployment. We delivered six EC systems to a Florida utility customer in December 2024. The final two energy center systems were delivered this quarter to complete the initial order. The eight energy center systems translate to a one-megawatt project, and site construction is ongoing, with commissioning expected later this year. This was not only a significant contribution to our revenue for 2024, but a step forward in our understanding of project-level implementation of our batteries. ESS, rather than the utility, has responsibility for the EPC project scope and work at the customer site, which helps us to better understand full-solution implementation and how our battery fits in with the site and grid connection. This foundation was instrumental in optimizing the design of the next generation of our technology, the energy-based product, which I will talk about in a little bit. This quarter, the first two energy centers that we manufactured in 2024 completed connections to the grid and passed final commissioning for Portland General Electric just two weeks ago in a real-world utility application. Prior to the handover to PGE, we completed comprehensive on-G19 testing of both units, cycling the units to transact more than 350 megawatt-hours. Our initial product deployments have and continue to yield invaluable real-world field operating and use case data. The addition of the PGE energy center project, located right here in Wiltonville, gives us improved visibility into full-grid implementation of our batteries, as well as on-site visibility to operability. Between our energy warehouses and energy centers and total ESS batteries have now transacted almost 2.5 gigawatt-hours of energy across our global fleet. A great deal of this is not lab or subscale testing, but commercial system operations, including ongoing cycling at the SolarTac and DePlains facilities of our partner SoftBank Energy and Honeywell, respectively. We also have tested our batteries against industry-standard metrics, including the on-G19 testing regime mentioned previously and PNNL testing. Second, we aggressively executed our Cost Young program for the energy center. We were able to achieve break-evens on our latest energy center design at the end of the fourth quarter of 2024, hitting our target almost a year faster than expected. We achieved this milestone by innovating within the core components of the battery design to improve performance, capacity, cost, manufacturability, and reliability. Put simply, we reduced our battery pack costs by nearly 50 percent. Tony will speak to this more in his segment. This cost reduction work translates directly to the improved cost profile of all future generations of our technology. Both of these efforts directly supported our longer-term vision to develop and productize a non-containerized, optimal version of our product, which we are calling the Energy Base. And we executed the soft launch of this product recently at InterSolar on our website and in recent Fed activity. Our first product type solutions, the Energy Warehouse and the Energy Center, fit well for certain use cases, but they are inherently limited in scale because they are in a container. That said, the Energy Center utilizes the same scaled-up version of our power module technology that the Energy Base will use. And in adding the Energy Base to our technology portfolio, we can leverage the benefits of real-world learning from supporting operating systems in the field. The non-containerized energy base is comprised of two distinct systems. The first system is an integrated SCID unit with our core technology with nominal discharge power of 400 kilowatts per core building block. The other system integrates the commoditized balance system components, think tanks, pumps, and actuators. In the addition of the energy base, we redesigned the product with these two systems decoupled, which is transformational for our operations and approach to the market. First, it gives us more flexibility in our business and manufacturing strategy. ESS can focus its resources on the parts of the battery system where we have the most expertise and create the most incremental value. This facilitates ESS shipping its core intellectual property in the most concentrated manner and is expected to improve ESS's margin profile while giving us the option to secure a design, process partner, or procure contract manufacturing as a balance of systems. We're actively exploring this model with Honeywell, leveraging their expertise in process design and procurement for core elements like tanks, pumps, and control systems. Second, the design accommodates the level of scale that truly solves for grid-level demands. The modular format of the energy base will vastly simplify manufacturing and shipment, especially for very large projects, and accommodate plug-and-play on-site deployment. In getting to this point, we have again worked deeply with our partner, Honeywell, to help drive improved industrialized designs, particularly across balance of systems, to redeploy our core technology in a product form that is modular and scalable at the levels required to meet increasing energy demand. The most exciting thing about the new design is the significant impact to the technology form factor. We now have the ability to truly separate power delivery and total capacity, unlocking our ability to achieve durations beyond 8 to 10 hours by simply building larger tanks with more electrolyte. Our current roadmap targets 12-plus hour duration for our 2027 projects, and we have line-of-sight to 22 hours. These are projects that we are already implementing, and we plan to execute during 2025 and 2026. The extended duration expands our ability to meet the needs of our customers, including energy shifting, clean-from-capacity, and UPS deployment. This extended duration is in stark contrast to lithium-ion deployment. Lithium-ion is a two-to- hour storage technology that provides incremental but not baseload storage capacity. For example, a typical daily solar power curve allows for 10 to 12 hours of solar-to-grid generation from approximately 6 a.m. to 6 p.m., of course varying by location and season, while recognizing that even the best regions in the world realize peak solar generation for roughly 5 to 6 hours in the middle of the day. During summer and winter peaking hours, when temperature control is required for homes and businesses, the need for energy extends beyond the maximum solar generation period. Four-hour duration is not sufficient to meet the residual daily need, and we are already seeing lithium-ion deployment in the eight-hour space to address this issue. The need is even more pronounced for a rapidly growing corner of the energy ecosystem, hyperscale AI data centers that effectively need baseload-level energy storage to power normal operations with intermittent generation resources in order to serve as critical backup power supplies, which currently tend to be served by diesel power generators. Additionally, the extended duration feature of the energy base dramatically reduces our total installed costs on a capacity basis, be that megawatt-hour or gigawatt-hour. With the potential to not only compete but beat lithium on a dollar-per-megawatt-hour basis. We have modeled costs against a variety of project sizes, including 5, 10, 50, and 100 megawatts. We will continue to execute on our existing opportunities in the 8- to 10-hour space. We are extremely excited to extend our duration to support future customer demands that most current technologies cannot. The energy base represents a natural, long-term configuration of the core ESS technology. In this model, we can customize capacity, power, and duration, optimize the customer needs. The timing of unlocking this potential seems to be synergistic. Demand for electricity has undergone its first major uptick in decades, as the power required by data centers has increased the trajectory of electricity usage across the globe. Between 2024 and 2040, electricity demand in the U.S. is expected to grow by 35% to 50%, driven by a combination of underlying economic growth, large industrial loads like data centers and manufacturing, and the electrification of transport and heating. This is bringing new mandates for green renewable power, supplemented by safe, scalable energy storage, to provide reliable, safe, 24-7 coverage. ESS is vigorously pursuing this market. We are currently bidding on projects with the energy base and have already been shortlisted this quarter on one project representing a key market opportunity for us. We also have the opportunity to optimize our existing relationship with another ESS partner, South Bank Energy, who develops and operates American-made solar projects to help power data centers. South Bank Energy is just one example of a company that is prioritizing American-made components in its projects, and we are proud that making our batteries here in America is not new for ESS, as already recognized by the U.S. Export-Import Bank under its Make More in America program. All of our manufacturing is conducted in our Wilsonville facility. We are not importing cells for U.S. assemblies. We have an extremely high degree of American-made inputs from our supply chain. Over 98% of the components in our bill of material are sourced domestically, and we have already positioned ourselves with redundant suppliers domestically to maintain highly predictable supplies while mitigating tariff risks. In addition, we believe there are positive legislative tailwinds for domestic long-duration energy storage manufacturers and recognition of the importance of continuing and strengthening several of the IRO tax credits that have helped scale domestic manufacturing of energy technology and reduce dependence on Chinese technology for energy projects. In short, we believe ESS is well-positioned to support the administration's mission to reestablish American energy dominance at home and abroad. We believe we have a transformational opportunity ahead of us. To bolster our balance sheet, we are seeking to raise capital and have engaged financial advisors to manage that process. We are also pursuing financing for specific projects and are working with Honeywell to explore joint project delivery opportunities that will help ensure the success of projects for which we are selected in the near term. Our current process timeline is targeting transaction closing during the second quarter. The conclusion of this process is expected to give us the foundation to sell, manufacture, and deliver our future state tech. We also have learned hard-gained experience of areas where we can continue to build our team, including around expansion of and support for our sales team in light of the broader range of project opportunities with the availability of extended duration, grid connectivity, software development, and product documentation, and we look forward to filling out these and other positional needs. Full implementation of our strategy will take some time to execute, and we do expect the need for ramping in 2025. Our primary focus is on the back half of the year. We are actively bidding on projects and working our 2025 orders, and we believe that the inherent scale of our newer product designs will allow us to better position ourselves to compete in RFPs and scale our operations. I also want to address the filing last Friday regarding our listing status with the NYSE. We received notice last week that we fell below the NYSE market cap requirements of $50 million over a 30-day period. We are taking action to remedy this situation, which includes submitting a plan of the NYSE and working to execute that plan within an 18-month cure period. Please refer to our recent 8-K for more details. With that, I will pass it on to Tony to review the financials and our outlook.
Tony Rabb: Thanks, Kelly. Unless otherwise noted, all numbers we discussed today will be on a non-GAAP basis. You will find the reconciliation of GAAP to the non-GAAP financial measures in our earnings release, which is posted on our investor relations website. We reported revenue of $2.9 million in the fourth quarter with the associated cost of revenue at $16 million. This included our first six commercial energy center shipments to a Florida utility, and we are extremely pleased with our supply chain manufacturing and engineering team's ability to produce and deliver the first six of eight ECs to this customer. Our cost of revenue associated with the ECs does not reflect many of the savings initiatives we have realized for both the energy warehouse design as well as for this current version of the EC design. As Kelly mentioned, one of the most significant milestones for us this quarter from a cost reduction perspective was achieved on both the EW and the EC, where we are now at a design and build materials as of the end of Q4, where both products have crossed over the breakeven threshold on a non-GAAP gross margin basis. Non-GAAP gross margin breakeven is defined as sales price less direct materials, direct labor, all direct consumables, scrap and warranty costs, plus the benefit of the production tax credit, but excludes all indirect overhead costs. I'll touch more on our cost savings initiatives and progress later. For the full year 2024, revenue was $6.3 million below the low end of our guidance with the associated cost of revenue of $51.7 million. As Kelly mentioned, while we were optimistic in Q4 about the ability of our Australian partner to pay for and take shipment of product that they had orders for, they ultimately have been unable to date to secure the adequate funding to enable us to achieve our expected revenue guidance. In addition, some timing delays related to our Florida utility customer project has pushed a portion of that project revenue into 2025. So a lot of revenue for Q4 was disappointing relative to our expectations. Delivering six of 80 ECs to our customer in Florida is a great milestone achievement in our product line evolution, and we're excited about the even greater potential ESS will have with our new energy-based product. While we continue to make great progress on our cost initiatives, our costs for the full year and for quarter 2024 still reflect and are subject to an LCNRV adjustment that continues to significantly impact our results. This adjustment will continue to impact us at our current lower volumes, as well as while we are purchasing materials and producing products for sale in future quarters. However, due to the significant progress we have made in our cost initiatives and manufacturing process improvements, we have realized a nearly 60% reduction to our energy adjustment per unit year-over-year, which is reflected in our Q4 financials. These improvements are a strong indicator and reflection that we're able to deliver on our cost-added initiatives and make progress towards more normalized card support, but more importantly and critically, our goals to achieve gross margin and adjust the units at break-even. The non-GAAP operating expenses for Q4 were $7.9 million, which includes R&D spend of $2.2 million, reflecting our continued investment in our cost-added initiatives, as well as the technology and product development roadmap improvements in performance, reliability, and durability of our energy center, as well as the energy-based product we recently announced and Kelly shared earlier. Due to the customer response to our EV product relative to its scalability, power, and energy footprint, as Kelly outlined, we've been allocating incremental engineering and other op-ecs and overhead resources to support our ability to bid customer projects out in 2027 and beyond. It is important to reemphasize, as Kelly noted, that all of our design and developmental initiatives on the core technology carry over from the EW to the EC and then to the EB, as there's no differentiation in that underlying core tech from one product to the other. As a result of all this activity, for Q4, we reported adjusted EBITDA of negative $18.2 million, and for the full year 2024, adjusted EBITDA was negative $71.3 million. We anticipate this loss to narrow as all units produced in 2025 and beyond will be non-gap gross margin positive, and based on our expected volume of production and sales, have a path to transition to EBITDA and cash flow positive in the next several years. I'm going to expand on and highlight some of the great progress we've delivered on our engineering, production, and supply chain initiatives that have led us to this extremely significant milestone of achieving non-gap gross margin positive on all of our products as of December 31st, 2024. To emphasize the point, every product we produce and sell in 2025 will be profitable on a direct variable cost basis. Overall, we realized incremental reductions in cost on the EW of about 35% in 2024, and those savings all translated into cost savings on our ECs. In addition to those cost reduction benefits, we also realized 26% cost reductions on the EC. The investment in and strong execution of our supply chain, R&D, engineering, and manufacturing operations have allowed us to realize these gains, and I'll touch on just a few of them here. One major cost reduction initiative was ESS developing its own electrode. This immediately reduced the electrode cost by over 35% and gave us a lot of sight to another incremental 70% in cost reductions. Important to note here is that control of the electrode is also a key enabler of increasing our performance gains. A second key initiative was the reformulation of our electrolyte, which reduced its cost by over 50% while also increasing the energy output by 20%. This is a substantial benefit to our overall product cost and performance and also highlights the benefits of our core technology that Kelly noted on decoupling power from energy and all the advantages that provides to our product platform over other technologies. In addition to those two, I'll note that several initiatives to transition to domestic secondary sourcing of key battery stack and balance of system materials cut product cost by about 16%, which also has the effect of reducing any potential impact of tariff implications while continuing to increase the domestic content of our product. Lastly, I want to point out that our yields and scrap rates have improved considerably year over year with reduction in scrap losses by over 90%. This is a testament to the productivity and efficiency improvements for our manufacturing team and utilizing our fully automated production line. These are all great accomplishments by our team and we're very satisfied with the progress and realization of the benefits of the investment in these initiatives and anticipate continued progress with our team on our 2025 and 2026 cost-out performance and durability projects and initiatives that are already well underway. While we've crossed over this critical milestone sooner than we originally expected, it's also important to note that we're in progress on multiple other cost-out performance and durability initiatives to deliver incremental savings in 2025 and 2026, allowing us to both increase and expand our margins while ensuring we can be more cost competitive relative to lithium-ion and other technologies in the market. While we continue to aggressively pursue and execute on a planned product cost-out initiatives and technology roadmap of performance improvements to be realized in 2025 and 2026, we're also seeing market data on a fully installed pricing basis for lithium-ion and other technologies continuing to drop as well in the 2027 through 2030 time frame. We're currently actively bidding projects to be delivered in 2027, 2028 and beyond, where in that timing, pricing for lithium-ion and other technologies are trending towards $200 per kilowatt hour on a fully installed cost basis. With our current projected long-term cost initiative improvements and the technology roadmap through 2027 and out to 2030, we anticipate our pricing trends to be competitive with those market projected levels on a fully installed cost basis and still realize gross margins with the PTC north of 30%. With our projected installed pricing being more competitive and because our solution doesn't require augmentation like lithium-ion requires, as well as have superior incentives for both ITCs and PTCs, we're able to beat lithium-ion in many use cases on a levelized cost of storage basis. We also made very solid progress in our realization and monetization of our production tax credits. The good news here is that we expanded the amount of PTCs we can claim to include the electrode active materials in our product, which increased the amount we can claim on our products sold by over 30%. As a result, in the first quarter, we're also able to monetize 1.9 million of our 2024 production tax credits at a very favorable discount rate of $0.92 on the dollar, so a great result from a cash liquidity and discount rate standpoint, adding to the PTCs we realized in 2024 for our 2023 production. This over 30% expansion per unit sold of realizable PTCs year over year has reduced our COGS and provides an improved line of sight to expanding our gross margins and path to even that break-even. Finally, based on our ability to monetize these PTCs, we're encouraged about realizing the benefit of the PTC, both from a P&L cash and liquidity standpoint, as we continue to scale up our manufacturing and sales in 2025 and beyond. Turning to cash flow and liquidity, we ended the fourth quarter with $31.6 million in cash short-term investments. Our cash burn rates in the fourth quarter were impacted by the production costs of the eight ECs we purchased material for and built for our Florida Utility customer. Based on the progress we made on our cost-out initiatives through designs completed as of 12-31-24, we will see the benefit of those lower costs on materials purchased for production in 2025, while ensuring we're allocating our resources to initiatives that will generate the greatest returns. One of our largest uses of cash is our product build materials, and as I've noted regarding our cost-out initiatives results, reducing the cost of build materials is driving meaningful reduction in the associated cash burn and working capital investment. We're also continuing to work to prioritize allocation of capital across internal resources and third-party services, closely managing spend based on value added relative to cash burn. We anticipate that our lower bill of materials, actions taken to optimize spend, and increased focus and prioritization of the allocation of investments will reduce our burn rates several million dollars below our average quarterly burn rate in 2024 and ensure we have the runway to access the additional capital required to meet our near-term and longer-term growth and expansion objectives. As Kelly mentioned, we're in the middle of our capital raise process to bolster our balance sheet with the funding required to continue to execute our business plans and growth objectives. As we work to complete that process in the upcoming quarter, there are a number of near-term interim financing solutions we're exploring to allow us to successfully complete our broader capital raise objectives. Along those lines, one of the financing alternatives we'll be launching is our at-the-market offering. We're filing a prospective supplement today and anticipate being in the market by back half of April. We believe the ATM facility, along with several other near-term financing solutions on which we're actively working, can provide the funding needed to allow us to effectively complete our broader strategic capital raise process by the end of Q2. In addition, and as we previously noted, in the fourth quarter, we signed our credit agreement with the Export-Import Bank of the Ex-Im. With the signing of the first tranche of the $50 million financing package, we are proud to become the first energy storage manufacturer to be supported by the Make More in America initiative of Ex-Im. These funds have a very favorable interest rate and can be borrowed against past and future battery manufacturing capacity capital expenditures with repayment by mid-2031 and interest-only payments through 2026. We anticipate potentially drawing on this facility in the second quarter to provide us additional liquidity related to CapEx invested in on our first fully automated production line, as well as potentially for the additional investment we make into our second automated production line. Finally, I would also like to address the going concern disclosure we included in our 10-K. As both Kelly and I noted, we are working towards the optimal path to clearing this analysis, and we are focused on extending our cash runway through securing new capital, continued efficient management of spend, and reducing our cash consumption. I'll reiterate again that we are actively evaluating a variety of strategic financing alternatives, both dilutive and non-dilutive, to choose the best possible means to strengthen our balance sheet to extend our cash runway to enable ESS to operate through 2025 and beyond. With such strong market tailwinds, we continue to see considerable investor interest in long-duration energy storage, and we're working to raise the necessary capital to fund us through the cash flow break-even. And with that, I'll open it up for questions.
Operator: [Operator Instructions] Your first question comes from Justin Clair with ROTH Capital Partners. Your line is now open.
Justin Clare: Hi, good afternoon. Thanks for taking our questions.
Tony Rabb: Good afternoon.
Justin Clare: So, good afternoon. So, first thing I wanted to start with here was just, given the ramp in the deliveries that we've seen for the EC in Q4, and then the deliveries you mentioned in Q1. Wondering how should we think about the trajectory of your revenue growth over the next few quarters? And then, could you talk about how you anticipate 2025 revenue, compared to what we saw in 2024?
Tony Rabb: Yeah. Thanks, Justin, for the question. This is Tony. So, at this stage, we're not going to be providing guidance for 2025, but we do anticipate that our revenue for the first half will be fairly moderate in terms of the ramp and scale up of our revenue for the full year. We will see revenue in the first quarter tied to those two ECs that we delivered to our utility customer, and then somewhat moderate throughout the rest of the first half of the year. And then, the back half of the year is where we'll see a bit of a scale-up in revenue, primarily tied to ECs that we would expect to produce and sell.
Justin Clare: Okay. Got it. And then, I wanted to just dig into the margins here a little bit more. So, you talked about reaching break-even profitability for the EC, but I know this excludes the direct overhead costs. So, wondering how we should think about the trend in GAAP gross margins in 2025. It sounds like volume might ramp in the back half of the year a little bit more so than the first half. But wondering, are there certain volume or revenue milestones that might need to be achieved before we really see an inflection point in the gap gross margin profile?
Tony Rabb: Yeah, that's correct. It's still quite a bit of indirect overhead that we would need to cover with the direct margins on sale of ECs and EVs and even EWs. And so, we wouldn't anticipate being a U.S. gap gross margin positive this year, but we anticipate realizing that post-2025.
Justin Clare: Okay. Got you. And then, just on the balance sheet, any sense for how much capital you might look to raise, what might be needed in order for you to fund the CapEx plans and your investment needs in 2025? And then, just on the export-import bank, are there certain requirements that need to be met in order to access that financing? And then, just wondering how you're thinking about it. Is it likely that you access the funding or we're still thinking through it at this point?
Tony Rabb: Yeah. Just a couple points there on your question. So, we are looking to raise enough capital to get us well into 2026, first of all. And if you look at what our cash burn was in the fourth quarter, it was higher than what we're anticipating our cash burn is going to be on a quarterly basis this year. And even our first quarter cash burn was below the fourth quarter. So, we anticipate that cash burn decreasing as we move out in the further quarters this year. So, that's sort of the first point. And then, in terms of the amount of capital that we're looking to raise, we'd like to raise at least enough capital that allows us to ensure we have access to the full amount of the export-import bank loan. And so, we need to raise at least $50 million to be able to access that, and we do anticipate potentially drawing on the export-import bank loan in the second quarter, assuming certain other criteria are resolved and also supplemented with other facilities like the ATM that they were launching.
Justin Clare: Okay. Got it. That's helpful. That's it for me. Thank you.
Tony Rabb: Thanks, Dan.
Operator: Thank you. Your next question comes from the line of George Gianarikas with Canaccord Genuity. Your line is now open.
George Gianarikas: Hi. Good afternoon, and thank you for taking my questions. I'd like to ask about the product you have in the field so far. Any sort of anecdotes, any performance metrics you can share as to how they're working out so far?
Kelly Goodman : Yeah, George, this is Kelly. Thanks for that question. And I think the short answer is that, with any new tech deployment, you definitely see issues. And that's something that we've been working through. A lot of that is in operability. When we're working systems here before they go out in the field, you don't see all the different use cases or the things that may come up as customers are working to operate independently. So I think there's two major areas that we've been working to improve. One is with software. That's an area where we've been improving the team and really helping the battery sort of, if you will, operate, quote, unquote, without user error, be able to respond to commands and know what's optimal for the battery, very much along the lines of how you might see your cell phone learn to adapt to your charging activities so that you don't degrade that battery. We don't have degradation issues, but our battery, like anything, certainly could adapt to how users are operating it. I think the other area, frankly, is in documentation. We have a lot of expertise here within ESS, but I think we certainly could be better in how we articulate how that's used with customers with operators, and with those in the field. So with those two areas, we're really excited about the progress that we've made. I mentioned SoftBank and Honeywell in my remarks. Both of those energy warehouse systems have now been operating at their facilities for some time. They have folks coming through that are interested in doing projects. And we're really pleased with the operations at those facilities with folks that have been really collaborative with us in helping better understand the optimal use of the battery and how to really ensure that our customers can use it, frankly without us other than from a maintenance perspective.
George Gianarikas: Thank you. And maybe to focus on the OpEx just for a second. Is this level, I just see the non-GAAP number $44 million for last year, if I'm not mistaken. Is that the right level to think about going forward, or is there additional room for cost cuts?
Tony Rabb: Well, I think, this is Tony. Thanks for the question. We've been evaluating where we think we need to be allocating the appropriate investment in our resources. And so we've taken a number of steps to ensure that we have that appropriately structured in terms of our operating expenses. And so, from one perspective, our go-forward operating expenses from a run rate standpoint are slightly lower than what they were last year. But at the same time, we're also selectively investing in needed resources that Kelly alluded to that will allow us to ensure we can get to those key initiatives that we have around the energy-based product. So, I wouldn't see a substantial area to reduce in terms of operating expenses, but I think we are focused on reallocating our investment in resources to the appropriate areas of the company.
George Gianarikas: Thank you. And maybe a final one for me. You mentioned, I think I heard that the energy-based product you plan on bringing in production partners and sort of becoming more of an IP company. Is that -- did I hear that correctly, and how is that evaluation of manufacturing partners going so far? Thank you.
Kelly Goodman : Yeah, thanks, George, and thanks for that, because I should add a clarification. So, the one thing that's really different about the energy-based, the EW and the EC both come in an integrated solution, right? It's container-based. The way the energy base is configured, there's two discrete systems that are then integrated. So, what we're thinking is not to be an IP licensing model per se, but rather we would continue to manufacture what we call the power block unit, and it consists of our core components, our stacks, our electrolyte health management system, and then the electrolyte. And having it decoupled gives us the ability to either manufacture the balance of the system ourselves, or frankly, leverage folks that have expertise in that field. It's really industrial components, things like pumps, tanks, and actuators. And as mentioned, that's something that we're actively exploring with Honeywell. That kind of chemical processing is exactly what they do. And we've looked at our business model as we are manufacturing core components alone, and there's definitely a case to look at there as far as us bringing incremental value in the area where we have the most expertise.
George Gianarikas: Thank you very much.
Operator: Thank you for your question. There are no further questions at this time. Ms. Goodman, I turn the call back over to you.
Kelly Goodman : Thanks, Matt. Thanks, everyone for joining our fiscal year ‘24 year-end call. Appreciate the time and your support of the company.
Tony Rabb: Thanks very much, everybody.
Operator: This concludes today's conference call. You may now disconnect your lines.